Operator: Good day and welcome to the Camping World Holdings, Inc. First Quarter 2025 Results Conference Call. All participants will be in the listen-only mode. [Operator Instructions]. Please note that this event is being recorded. I would now like to turn the conference over to Lindsey Christen, Chief Administration, Legal Officer. Please go ahead.
Lindsey Christen: Thank you, and good morning everyone. A press release covering the company's first quarter ended March 31, 2025 financial results was issued yesterday afternoon and a copy of that press release can be found in the Investor Relations section on the company's website. Management's remarks on this call may contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These remarks may include statements regarding our business plans and goals, macro-economic and industry trends, customer trends, inventory strategies, future growth of our operations, capital allocation and future financial results and position. Actual results may differ materially from those indicated by these remarks as a result of various important factors, including those discussed in the Risk Factors section in our Form 10-K, and our Form 10-Qs and other reports on file with the SEC. Any forward-looking statements represent our views only as of today, and we undertake no obligation to update them. Please also note that we will be referring to certain non-GAAP financial measures on today's call, such as EBITDA, adjusted EBITDA, adjusted earnings per share diluted, which we believe may be important to investors to assess our operating performance. Reconciliations of these non-GAAP financial measures to the most directly comparable GAAP financial statements are included in our earnings release and on our website. All comparisons of our 2025 first quarter are made against the 2024 first quarter results unless otherwise noted. I'll now turn the call over to Marcus.
Marcus Lemonis: Thanks, Lindsey. Good morning, and welcome to our first quarter 2025 earnings call. We entered the year with a few simple mandates: sell more RVs, improve our margins and reduce our costs. As part of that, we made a commitment to deliver for the 2025 year, an improvement of SG&A as a percentage of growth by 600 to 700 basis points. We began the mandate by making the difficult decision to part ways with a number of team members and optimized our footprint in real estate through the targeted consolidation of dealerships, working to accelerate sales per rooftop and improve efficiency. Through an intense focus on profitability, we achieved EBITDA growth of nearly 4x the previous year in the quarter. We've taken decisive action on SG&A and craft preservation during the first quarter, the primary benefits of which we expect to show up in the second half of the year through the balance of the year so we may achieve our goal. Our company is uniquely positioned to outperform compared to our peers, especially in an environment like this, with stabilizing forces in the used business, the Good Sam business and our service and parts business. The RVs we sell are Built in America so that people can see America, mitigating the impact from tariffs to our industry. There are three very specific points around this topic. We expect the direct tariff impact to the broader RV industry to be relatively immaterial, with new model year '26 pricing up to be up in the mid-single digits range. In the event new model year 2026 prices increase more materially, we see the used side of our business, as evidenced in Q1, as a continual benefit for increasing value in this area. And our contract manufacturing strategy allows us to react swiftly on the new side of the business. We have not seen any discernible impacts on demand from tariff uncertainty. This includes no clear evidence of any pull forward demand or prebuying, giving us greater confidence in the positive March and April sales trends we are seeing. We remain confident in the guideposts we've laid out to deliver growth in excess of low double-digits in the used units, low single-digits in new, vehicle gross margins within our historical range and SG&A as a percentage of gross profit by improving 600 to 700 basis points. While we experienced some pressure on ASP during the quarter, we're committed to managing our SG&A to mitigate any ASP variability that can persist in the near term while finding new customers and growing our market share. We believe in the strength in our business and how we are positioned for idiosyncratic growth in 2025. I'll now turn the call over to Matt.
Matthew Wagner: Thanks, Marcus. Our momentum in new and used unit sales has extended far beyond March with April to date used same-store unit sales up high teens and with new unit sales up high single digits. We again reached record levels of combined new and used unit market share, seeing it over 14% through February. Importantly, we continue to maintain a high degree of velocity within our used RV supply chain, helping to fuel our significant used sales momentum. We achieved record levels of used inventory procurement in March and we are on pace to set another record in April. This laser focused effort ensures we have an adequate supply of used inventory to sustain our comps into the peak selling season. We continue to closely monitor affordability with a further shift to entry level single axle units, a trend that we believe could persist throughout the selling season. Excluding these entry level products, our new ASP was up in the quarter, much more in line with our expectations entering the year. We opened nine dealerships during the quarter, including five Lazydays locations. We are pleased to report these locations were profitable in March, which compares to a significant cumulative EBITDA loss for these properties prior to acquisition. As we move through 2025, we remain confident in the recent strength of our new and used businesses. I'll now turn the call over to Tom.
Thomas Kirn: Thanks, Matt. For the first quarter, we recorded revenue of $1.4 billion, an increase of 4% driven primarily by a 30% increase in used unit sales. Used vehicle gross margins of 18.6% continued to exhibit year-over-year improvement as we aggressively brought fresh inventory back into the system. Within Good Sam, we've made investments in our roadside assistance business in response to industry consolidation and business opportunities, positioning the organization for margin stabilization and earnings growth later in 2025 as we leverage this new infrastructure and lap claims cost increases. Within product services and other, our core dealer service revenues and our accessory business showed improved gross profit and margins despite reported top line pressure from the sale of our furniture business during the second quarter of last year and a higher allocation of service hours to used inventory reconditioning. We reported adjusted EBITDA of $31.1 million compared to $8.2 million last year. SG&A for the quarter was in line with our expectations and does not fully reflect cost saving actions taken in the first quarter or the additional measures currently underway in the second quarter. As we saw new ASPs soften, we took action at the end of the quarter to eliminate roughly $35 million of annualized SG&A through a combination of headcount, marketing and contract cost reductions. We recently announced the consolidation of stores in six markets, reducing our dealer count in April, while continuing to improve both our sales per rooftop and profitability. We ended the quarter with about $179 million of cash, including approximately $158 million of cash in the floor plan offset account. We also have about $367 million of used inventory, net of flooring, and another $203 million of parts inventory. Finally, we own about $205 million of real estate without an associated mortgage. I'll now turn the call back over to Marcus.
Marcus Lemonis: Thanks, Tom. Our team's conviction really stems from our current outperformance of our competitors, a carryover from last year, our growth in market share and our ability to control costs and keep laser focused on reducing SG&A. I'd now like to open up the call for Q&A.
Operator: We will now begin the question-and-answer session. [Operator Instructions]. Our first question comes from Joe Altobello from Raymond James. Please go ahead.
Joseph Altobello: Good morning. So Marcus, I want to go back to your comments regarding ASPs. You mentioned they were a little bit softer than expected. It sounds like a lot of that was mix, but how much of that was promotion driven? And maybe as a related question, how much support are you getting from your OEM partners right now versus, let's say, last year?
Marcus Lemonis: Well, I'm going to disconnect the last two parts to the ASP issue. As it relates to how much help are we getting from our manufacturers, so particularly continues to be committed to pushing things through the system and growing market share in 2025. But we're doing it responsibly by proper inventory planning, proper stocking and a real collaboration around making sure that there's efficiency for both companies. I think as we look at the margin profile, it's clear that we didn't need to be overly promotional. Our new margins continue to be quite frankly in line with our historical levels, even though we know competitors have actually gotten far more aggressive. We haven't had to do that. Our ASP softness, as some people like to describe it for us is what it is. And what I mean by that is our job every day that we wake up is to sell more RVs, generate more growth and grow market share. I think Matt had mentioned that our market share in the first 90 days of the year is already 14%. Keep in mind, we had set a goal at the beginning of the year of just going from 11.2% in '24 to 12%. So we're not having pressure in any of those things. I think what we're doing better than everybody else is we're finding the gaps in the market where the customer wants to be, and that isn't in just finding the least expensive units to sell. When you look at all the different type codes that exist in all the different floor plans that exist from a small travel trailer single axle up to a motor home, we're finding the opening price points in all of those segments, which is what we believe is driving overall gross profit dollars. It's driving market share and it's putting a little bit of pressure on our ASPs. When you extract out the entry level 13B and 17B unit that we sell, primarily to meet new customers, to put people in the good same file, to introduce them to our Camping World and Parts and Service business. When you separate that all out and you extract it, our ASPs are actually over $40,000. I think what really matters to us is that we don't want to manage our business on ASPs, but we're not tone deaf to understand that a drop in ASP $2,000 equates to revenue and gross profit in a way to address that combat that right out of the rip. That's why you hear all of this discussion around location consolidation, the elimination of fixed costs, the departure of hundreds and hundreds of people from our organization. We understand that we made a commitment that 600 to 700 basis points of improvement were required, and we knew that ASPs were one of the variables in that equation and were acting real time. Please know that the ASP numbers that you see in Q1 typically accelerate as we get into Q2, Q3 and Q4. So we still expect them to be up from where you see them in Q1, but there's a possibility that they could be off for the full-year. We're operating our business as if they're going to be off about $2,000. And we're doing that proactively by eliminating more costs in anticipation and trying to offset some of that with used evidenced by Q1.
Joseph Altobello: Understood. And maybe just to follow-up on that, you mentioned, new same store sales units were up high-single digits in April. I think it was down 2% in the first quarter. So I guess what drove the acceleration that you're seeing here in April?
Marcus Lemonis: Well, Joe, I mean, just to reflect upon that first call that we had to start the year, which was our year end call for 2024, we experienced some of that inclement weather in February, in which case our new same store sales were slightly down in February. However, when we look at our March results, we were actually up about 3% on new same store sales in March. And then as we rolled into this April timeframe, the comps were a little bit easier. When we look at a two year stack or even just frankly just year-over-year, where it was expected that we should be in this high-single digits range, which is why we could still maintain throughout the balance of the year. We feel confident that we should hit that low-single digit up our new same store sales for the balance of the year in particular.
Matthew Wagner: I think the things maybe more exciting for me is the noise around Easter in April. So we're going to be up material on new in April. We're going to be up materially in use in April. And we had Easter in April as opposed to March. So I think the real upside and the real momentum that we're seeing, quite frankly, is maybe a little under addressed because of Easter.
Joseph Altobello: Got it. Okay. Thank you.
Operator: Thank you. The next question comes from James Hardiman from Citigroup. Please go ahead.
Sean Wagner: Hi, this is Sean Wagner on for James. I guess you previously spoke about the 3% to 5% pricing increase potentially from tariff headwinds or from the OEMs. Has your thinking, I guess, changed on that number at all with all the moving tariff pieces? Or are you expecting to still see that potentially before the model year changeover? Or I guess how else should we be thinking about potential fallout for the RV industry and within your business?
Marcus Lemonis: Well, we don't think there's any fallout for the RV industry. In fact, we think the RV industry as a whole is very defensible against it, but we think our company is uniquely positioned. As a matter of clarity, all RV dealers do not buy RVs at the same price. And so we're not operating on a level playing field. So we have a little bit of a competitive advantage there. When we talk about trying to predict where we think the prices are going to increase, number one, we don't anticipate any price increases before the model year '26 calendar, and we haven't seen any indications of any materiality of such. We also know that any increase in new values, even if it ends up being 6% to 7% for the industry at large, is also a buoy for our used business. And so part of the reason we're excited to continue to accelerate our used business is because the inventory that we have on the ground today becomes more valuable. Our ability to procure with our strong balance sheet and our processes becomes more valuable and our ability to execute and hit our goals and our guideposts become easier. We don't see any increase at this point in our business that we believe is going to create any friction that will create a demand issue. But we're also not naive to think that a consumer outside of our business, outside of like our own structure may be affected. And so we're making sure that we're making all the SG&A moves and all the mix shifts to new, to used, to look at different price points, to be able to address any resistance that the customer could potentially have from what tariffs could cost them in other parts of their life.
Matthew Wagner: And I don't really think, Sean, that any of our thinking has changed. As we spoke about in our prepared remarks, I mean, we talked about being up mid-single digits, which I would just suggest that we're still largely in terms of all the products that we source from the largest manufacturers being Thor, [indiscernible] Winnebago. They'll all be in that like 3 to 5-ish percent range. There might be some fringe players that are pushing more to, like, 7%, 8%, 9%. But I think across the board, we'd anticipate just some basic price increases here over the next month and a half, which to answer your question about the model year changeover, typically for most of these manufacturers, that'll be June 1st. In which case, we as a dealership body have sourced most of the product that we need to get through the selling season. And we feel like we're really advantageously positioned to take advantage of whatever demand exists there with these 25 that we've ramped up some of these purchases on the last couple of months.
Sean Wagner: Okay. That's great. And if I just one quick, follow-up. I guess, in the past, you've spoken about not liking where your leverage is and wanted to get that down by the end of the year. I guess, can you -- what else can you tell us about the durability of your balance sheet and cash flow if we see a meaningful protracted slowdown in the economy? And given where the stock is trading, is there any assurance that you can give to investors to kind of calm fears around financial leverage and that associated risk?
Marcus Lemonis: It's the same thing we've said from day one. We have a very healthy balance sheet as Tom evidenced between cash, used inventory that we own free and clear, parts that we own free and clear, real estate that we own free and clear and available revolvers both on the floor plan and in other areas. We've actually paid down debt and we will continue to pay down debt through the balance of the year. Any investor that's concerned about our leverage is lined up with us. We agree, which is why it was important for us to outkick our coverage in Q1 and continue to deliver on the results that we have told people we will deliver on for the simple fact that we want to generate cash and we want to de-lever as fast as we can. It is our goal to always be in the 3.5% or below range. Quite frankly, I'd prefer to be at 3%. We understand just through math that we're not there today. So a combination of selling, underutilized assets and freeing things up and improving our results are how we want to accelerate getting there. Investors should feel very comfortable that we are laser focused on doing that because we understand that that's a risk and we want to eliminate that risk as fast as we can.
Sean Wagner: That's great. Thanks a lot guys.
Operator: Thank you. Your next question comes from Alex Perry from Bank of America. Please go ahead.
Alex Perry: Hi. Thanks for taking my questions here and congrats on a strong quarter. I guess first, just a very high level question. What do you think is driving the strength in your business versus the softness in consumer confidence and more tepid outlook that we're starting to see show up in the broader sort of consumer discretionary landscape? Thanks.
Marcus Lemonis: Well, it's our belief that the softness that the industry may be experiencing and the softness that the general consumer may be indicating to us on other transactions isn't really evidenced in our business specifically because we serve the installed base first. And I think it's really important to understand that there are millions and millions of RVers who already love the lifestyle. And if you go back and you look at the history of the RV business, there has never been a year where the number of RVs in registration, in total circulation, in use, visiting campgrounds, visiting our stores, trading their units in, has ever gone backwards. And so that stable foundation and our active database of those consumers gives us a leg up on everybody. We also think that the fact that we really understand the affordability matrix around consumers and monthly payments gives us an advantage to show people that owning an RV at $289 a month, $299 a month, $149 a month in those price ranges and being able to have time with their family and take vacations and do activities at that kind of value is really what supersedes all the other things that are happening. And so when people pull back on major league sports or pull back on going to theme parks or taking European vacations, they don't pull back on taking a monthly expense of $289 to take multiple vacations with their family. We saw it in '08 and '09. We saw it in 2018. We saw it especially during the beginning of COVID before people couldn't do things that this business, if it's focused on the installed base through Good Sam, through used, through service, will do very well in an environment like this because it's a really, really affordable alternative.
Alex Perry: That's incredibly helpful. And then my follow-up was, I just wanted to ask, what is driving the used up performance that we've seen so far in 1Q in April to-date? How do you expect to keep driving that as we move forward here? Thanks.
Marcus Lemonis: It's all Matt Wagner, to be honest.
Matthew Wagner: Team effort. Ultimately, Alex, we've done a very good job as a team understanding exactly where we need to source products from and creating enough different mechanisms by which we could attract different consumers or solicit them to sell their assets to us. We try to refine this as best we could over the last year and a half when for those that have been in the industry can recall for a little, while that we experienced deflation in our new invoice pricing last year, in which case the used marketplace became somewhat untenable for us. As such, the comps that we're heading into this year are a little bit more manageable and furthermore, we've been a lot more creative in terms of sourcing products and understanding what the arbitrage is that exists between new versus used. Really the only limiting factor heading into this year with our used business was going to be our ability to secure and procure assets. And in large part that was going to be a derivative of our human capital's capability to actually continue to secure enough assets to continue these growth. We feel really good with how much we've been able to procure in the first four months of this year. In fact, setting records in each of the respective months for the amount of used units purchased in each of those respective months historically. So now the question is how much more can we push this and how much more creative can we get in terms of sourcing products?
Marcus Lemonis: I want to give you a visual that I think may help you and other folks understand how we think about selling RVs to consumers in general. And if you could visualize what a periodic table looks like and the matrix that's on the wall, we look at every single payment, monthly payment that could fill every single one of those things. And as we look at trying to address the market between new and used and different floor plans, we try to make sure that what we carry anew and what we carry in use can give people options inside of each one of those price boxes, starting all the way from $89 a month going up to what could be $1,200 a month. And as you look at it across the board, most dealers tend to look at those boxes and they're able to fill it with whatever the OEM provides them, period because they don't have the balance sheet to buy used. We actually have a three pronged approach to doing that. Whatever the manufacturer can fill on the grid, whatever our contract manufacturing can do to fill in all of the gaps that we think the OEM left behind, and then we use the rest to fill it with used, whether it's a $200,000 diesel motor home that used to be $500,000 or a $39,000 fifth wheel that used to be $69,000. People still may need floor plan and size. When people come to our company, we don't really sell them on anything other than what can you afford and who's traveling with your family, how many people, how many animals. And we build that matrix to understand how to build affordability and the right floor plan at the exact same time. Now there's people in the stores probably don't think about it that way, but when you look at what Matt has built from an inventory procurement and management system, it essentially fills that chart every single day and then the pricing algorithm ensures that we hit those marks.
Alex Perry: Perfect. That is incredibly helpful. Best of luck going forward.
Operator: Thank you. Your next question comes from Michael Swartz from Truist Securities. Please go ahead.
Michael Swartz: Hey, everyone. Good morning. Maybe just to start on the some of the cost reduction actions you took, I think you had mentioned it was about $35 million annualized. Can you just walk us through maybe how the cadence of that plays out as we think about the next 12 months? And then, is any of that going to be reinvested or should most, if not all of that fall to the bottom line?
Marcus Lemonis: So it's important to note that when we started the year and provided the guideposts, we had anticipated reductions of about $22 million to $23 million already planned to execute at the top of the year. And as we saw a little bit of softness in ASP, we knew that the playbook was getting to the number that we committed to ourselves. And we knew that there were only certain levers that we can pull on. And so we made an additional $12 million to $13 million of additional cuts by unfortunately reducing headcount, eliminating initiatives in a lot of cases, locking down travel, modifying pay plans, consolidating locations and eliminating certain things that we thought were nice to haves, not have to haves. To be really candid, we went to our 2008, 2009 playbook, and that playbook has never ever collected any dust, which is anytime we have any issues, what are the things that we do and what are the levers we can pull? Unfortunately, because when you look at our business, it's driven by people. And one of the challenges that we've had in the ASP drag down is that it takes the same number of people to deliver a 100 units that cost that retail for $35,000 than it does for units that retail $42,000. So we had a headcount problem because we don't want to impair the customer experiences evidenced by the increasing NPS scores that we have. So we had to really start thinking about consolidation, elimination of certain initiatives, constraining certain ideas that we have. And the $35 million quite frankly is almost fully done. It's a little bit leaking into beginning of April, and we should see the benefits of that as we go through the balance of the year. But as Tom says every single day, the dashboard will tell us whether we need to make deeper cuts or not. We have nuclear options. And we want everybody to hear very clearly that we're not tone deaf to any risk that a recession could be happening or something else could be happening or tariffs could be impacting things. And so we have different levels of playbooks that go all the way to the nuclear option to ensure that we are able to hit the targets that we have laid out.
Michael Swartz: Got you. Thank you for that, Marcus. And then just in terms of I don't think I heard it, but I think previously, you had expected retail for the industry to be somewhere in the neighborhood of 350. I mean, is that still the case? Or maybe a little less now, but you're expecting to take more market share? Just how do we think about that?
Marcus Lemonis: Well, I know we're expecting to take more market share. I'll start with that evidenced by the 14.2. But, Matt?
Matthew Wagner: I'd say that there's still a little bit of an unknown here, especially in Q4 of this year of what should it transpire in terms of wholesale shipments and then the correlating retail sales. But I'd say we're still in the ballpark in terms of retail activity in the industry of, like, 340 to 350. And I say that in so much as like, we've seen historically that there's very little, like deviation from like, what's happening on a TTM basis. It's very rare to see more than, like a 5% to 10% max movement one way or the other. And then in terms of actual wholesale shipments, I still that say that wholesale shipments should clear, like 350-ish plus even when you think about the scarce supply of RVs that existed in the channel over the last couple of years. So I know that people are a bit stunned by that wholesale shipments number at least in terms of some of the feedback I've received in March. I wasn't shocked at all largely because we know roughly what we account for as a percent of total shipments. And we knew that ultimately we were trying to gear up to ensure that we had adequate supplies to continue to pick up more and more market share heading into the selling season, where we are roughly, I mean about a quarter of all of those wholesale shipments in that March time period. And we knew exactly what we were trying to secure and why. So now the question is what happened over the back half of the year in terms of wholesale retail? And I mean, this is all just finger in the air, but we feel pretty confident in just the consumer being able to continue to participate in this lifestyle.
Marcus Lemonis: Michael, does that answer your questions?
Michael Swartz: Yes, that was great. Thank you, guys.
Operator: Thank you. Your next question comes from Scott Stember from ROTH MKM. Please go ahead.
Scott Stember: Good morning and thanks for taking my questions. Marcus, you noted that, I guess, since early April, you have not seen a discernible impact just from all this tariff talk on retail demand. Could you talk about what you're seeing on the rate environment and also from the lending environment as far as tightening or consumer credit?
Marcus Lemonis: Yes, Scott, we have not seen any modification of behavior from any of our retail lenders. And one of the things that I think makes us uniquely positioned to probably avoid some of that is we have consolidated our retail lenders over the years. And when we look at them, we probably have six to seven really big ones that make up the bulk of our business other than cash and credit union. The interest rates have actually been moving around from a 10 year treasury standpoint, but we've seen some stabilization from the retail lenders. They're probably enjoying a little bit of an expanded margin today. We're down on a year-over-year basis, and I only have to lower this number because time passed, but we're still down as much as 75 basis points for the retail consumer. When we started in the first quarter, it was down 100 to 125. And over time, obviously, that's going to mitigate itself because we started to see rate cuts, but no change in any action. And in fact, some lenders have gotten a little more aggressive. The reason they've gotten more aggressive, RV Paper performs. Average credit score over 700, average household income over 100,000. And I think that it ends up being a flight to RV paper in a lot of cases when people are looking to put assets that have historically performed through all periods on their balance sheet.
Scott Stember: Got it. And if we were to look at on the parts and service side, there's a lot of numbers. I know that the discontinuation of the furniture business brought the numbers down year-over-year. But what are you seeing on the customer pay side, also on the used reconditioning side? And maybe just give us an idea of how the core business is doing?
Marcus Lemonis: The total internal business is just around 60%, which is pretty normal for us. Maybe it's off one or two points. The customers have really started to show up a lot more than we had expected in April. And what that tells us is people are getting out and using their units. When we talk to our Good Sam team, they talk about campground bookings and reservations and campgrounds looking more full for the spring and summer. I think we could expect to see some nice increase in some of those things, particularly with customers, at least domestically, not wanting to travel internationally, particularly among in light of some of the tariff talk. I don't know how many people are going to be going overseas with increased costs and some of the friction that's out there.
Scott Stember: Got it. That's all I have for now. Thank you.
Operator: Thank you. Your next question comes from Noah Zatzkin from KeyBanc Capital Markets. Please go ahead.
Noah Zatzkin: Hi, thanks for taking my questions. I guess first, in terms of the market consolidations, just wondering, if those are kind of accretive to the bottom line and then relatedly, just how you're thinking about M&A this year? Thanks.
Marcus Lemonis: Yes, thanks for the question. The way we're thinking about it is we're looking at those locations that, some of these are smaller locations where we've been monitoring them for some time, and we got through March and we just took a hard look at this list and said, you know what it is time to make a move. And it's locations where we feel that we can consolidate the brands and try to maintain a lot of that gross profit that we generate in those locations, while also slimming down the overall cost structure in those markets. So the way we're looking at it, it is accretive to the bottom line.
Thomas Kirn: And traveling the country and meeting with a lot of our investors, they're looking for an increase in sales per rooftop back to some of our peak levels. And sales per rooftop increases usually means EBITDA margin increases because you're eliminating fixed costs and you're getting more juice out of what you have. We are dead set on driving that number back. And Matt will correct me, but I think our average during good times was about 77 per rooftop.
Matthew Wagner: It's a little high. That was maybe like, yes but right around there, per month, per rooftop.
Thomas Kirn: Yes. And I know that we were down in the 60s, and so we're trying to just close that gap as fast as we can. What we're finding when that happens is that because our game from a marketing standpoint is so digitally driven, that a really good store that was doing well in that market will just pick up the incremental e-leads, pick up the incremental foot traffic, and they were better at executing and converting. And so in some cases, oddly enough, we're actually seeing an increase in sales in the market because we have the '18 sort of dominating that market, dominating those leads. As it relates to M&A, we're always looking at different opportunities. We want to be opportunistic. We also want to build cash and delever our business at the same time. We have one transaction that we're looking at that we potentially would close at the back half of the year. And there's a lot of people that we get inbounds from all the time. We are a business that makes acquisitions opportunistically and that should never be lost on people. When you look at our historical margins, in terms of multiples and you look at our historical returns, we need to get our returns on acquisitions back up closer to the 19%, 20% range. We need some of the ones that we've made to season. As you heard Matt earlier mention that the Lazydays locations cumulatively were positive in March. That's a huge departure from a business that lost almost $10 million in those locations in the previous 12 months. We have some of our own wood to chop before we go chop some other trees down.
Noah Zatzkin: Very helpful. Maybe one more. You've kind of touched on this a bit, but maybe to put a finer point on it, the same-store units up three, I think you said March, and obviously high single-digits to date in April. What's your sense of the level of outperformance versus rest of industry, if that does kind of represent outperformance? Thanks.
Matthew Wagner: I mean, based upon most recently reported stat surveys, which was through February, we picked up a little bit of market share. It was just like super modest, though in and of itself, especially compared to last year. But when we look at the combined market share growth of new and used, I mean, that's where you saw just like meteoric, pickups, where we went from what was 11.2% to 14% through February. So we had to suspect that same like trend probably persisting throughout like March, April based upon just our rough checks. So I wouldn't anticipate that on the news side, we're picking up massive market share gains but rather relatively moderate.
Marcus Lemonis: Yes. It's relatively moderate, but it's stacked on multi-year growth. And I think that's the difference. And so when we hear about some of our competitors being up 6% when they're coming off of being down 20%, it's like, oh, who cares? We're trying to be up on top of being up last year and growing our used business at the exact same time. I think the 14% that we've thrown around through February is not a number that we really believe is our 2025 number. Our goal was always 12%. We'll be pleased to exceed 12%, but we want to set expectations that 12% is still a significant increase in total volume for the year as we work through the back half.
Noah Zatzkin: Thank you.
Operator: Thank you. The next question comes from Tristan Thomas-Martin from BMO Capital Markets. Please go ahead.
Tristan Thomas-Martin: Hey. Good morning. I could talk again. Great.
Marcus Lemonis: Good morning.
Tristan Thomas-Martin: Just how the mid-single digit model year '26 price increase, is that just towables or was that towables and motorized?
Matthew Wagner: That was all of it combined. So, I mean, we look at a whole basket of goods of all motorized towables combined. So you will have certain motorized subsegments where like Mercedes Sprinter chassis is going to be a much more material price increase year-over-year. However, we don't necessarily feel the entire effects of that because of our ability to just negotiate pricing period. However, when you look holistically, as you know, Tristan, there's going to be a mixed bag of results across every segment. I mean, in some categories, there's going to be no price increase with certain brand manufacturers, whereas others, it could be upwards to like a 11%, 12%. But holistically, we'd -- we suggest that it's probably going to land somewhere in that, like 5, 6-ish percent range that we had again, some lower, some higher. We won't know for a fact, though for another month or so, and that's when model year 2026 pricing actually hits more rapidly in every category across the country.
Tristan Thomas-Martin: Okay. And then could we do get that 5% to 6% increase on model year '26? How should we think about the mix dynamic, not so much the selling season, but kind of end of '25 and into '26?
Matthew Wagner: Well, I think as always, there'll be certain categories, price points where we'll be able to take advantage, and that's been evidenced by the entire exclusive brand lineup that we've been very effective at contract manufacturing, where if you look through every single one of our segments Class A gas, Ds, Cs fifth wheel travel trailers, the best-selling floor plan within each of those respective segments is a contract manufactured unit. And as you heard Marcus mentioned earlier in this call, we believe that we'll be able to continue to bend that curves of affordability to ensure that we're able to take advantage of the opportunity. No matter what though, the ASPs will have to go up from here. We cannot continue to maintain these ASP levels to the same extent. And we believe that there's still some targeted segments in spite of any sort of price increases, where we'll be able to undercut the rest of the marketplace to ensure that we continue to stack on these moderate market share gains.
Marcus Lemonis: I think it's also important to note that when we talk about ASPs going up 4% or 5%, for those that aren't aware, RVs are financed anywhere from 180 to 240 months. And so when you talk about spreading that out over a long period of time that matters, particularly when you have rates coming down at the same time. So rate mitigation usually offsets price increases. What we had in the years past is we had price increases and rate increases at the same time, really making the addressable market shrink pretty rapidly. We have the opposite of that happening now.
Tristan Thomas-Martin: Okay. If I can sneak one more in there. Can you maybe just remind everybody vehicle gross margins, what are the historical risks or what would you consider historical?
Matthew Wagner: I mean, Tristan, from my perspective, if you look back at that 2016 through 2018 time frame, you've got new sitting in anywhere from like 13% to about 14%. And used historically is about 20% plus. But within the used segment, there's going to be a whole host of different factors that you have to take into consideration, especially in the short term where we've ramped up our procurement efforts, we've ramped up our consignment efforts pretty extensively. And as I think there was some comments that I read through last evening about our used inventory balances not necessarily being up materially from quarter-to-quarter, what people are oftentimes failing to recognize the amount of consignments that we picked up and invested in, which isn't going to show up in our balance sheet, of course. Where if we look through our consignments, we're up to about 2,600 consignments, whereas like historically, that number typically sits in like that 600, 700 range.
Marcus Lemonis: I think what you're really referring to is when people scrape our data and try to extrapolate out what they think our inventory is, they need to take into account that a big chunk of that is inventory that we sell on our lots that we do not own.
Tristan Thomas-Martin: Correct.
Matthew Wagner: And oftentimes, that consignment asset is going to yield a lower gross margin, but we're okay with that. Because when we think about that return on capital, I mean, ultimately, this is an asset that we don't own, and we're able to still enjoy the benefits of selling this -- or selling this asset and yielding that profit.
Marcus Lemonis: Jokingly, the consignments turn 365x because you buy it on the same day that you sell it.
Tristan Thomas-Martin: That's right. Got it. Thank you.
Operator: Thank you. Your next question comes from John Healy from Northcoast Research. Please go ahead.
John Healy: Thanks for taking my question, guys. Just one question for me. When you look at kind of the model that you've laid out there over the last couple of years, I think it was two years ago at Tampa, you guys talked about 325 stores or so. Is that still a good target for you guys? Because when I hear your comments, it's much more thoughtful now on store counts, revenue per store cost. So my question is, is 325 the right number still that you're aiming for? Or is it lower and the stores are bigger and more productive and as a result you can still get to those share gains goals? And just to like to get your thoughts on that and maybe the long-term profit potential at that store account level? Thanks.
Marcus Lemonis: Yes. So driving profitability is absolutely the top thing on our list. And getting back to the type of EBITDA margins that we enjoyed previously is right there at the top of the list. And how we get there is going to be something that will evolve over time. We still know that we need to grow our footprint, and we still see white space across the country, and we still see opportunity to enter markets that we're not in today, and we still see opportunity to pick up brands where we think there's market share growth opportunity today, and we still see opportunity to increase our service base and our opportunities. So the idea of us ever, anybody ever thinking that we are not a growth company would be a terrible, terrible misnomer. How we grow, it needs to be more qualitative. And whether we're going to get to 320 or 312, we know that we need to grow the size of our business to get to $10 billion and $11 billion in top line. We want to do that as smartly as we can. We want to have margins and process and EBITDA returns be what they should be. And so whether, again, whether it's 320 or not, we are a growth company. And over 20 years, we've built this business by tacking on locations, by finding markets, by acquiring new brands, by adding new service space. That is never going to change. We also are conscious of the environment that we're in, and we also understand our necessity to de-lever our balance sheet. So building cash and growing earnings at an accelerated rate is priority number one. That doesn't mean that we're not going to be opportunistic. We've already acquired and picked up, I think 10 stores this year. And we think that they were a better trade for some of the other ones that we consolidated. So like any football team, there's 53 players. We're going to look to upgrade that talent and upgrade the performance every single day on our path to north of 300.
John Healy: Great. Thank you, guys.
Operator: Thank you. Your next question comes from Bret Jordan from Jefferies. Please go ahead.
Bret Jordan: Hey, good morning, guys. I think you said ex the cheap RVs ASPs were up, I guess over 40,000. What percentage of units are 13Bs and 17Bs?
Marcus Lemonis: We don't disclose that information just for competitive reasons, but we'll tell you that it's a pretty nice chunk of our new travel trailer business. But we've -- everybody's trying to always figure out exactly what we're doing, and we need to keep some competitive advantage so that we can get our market share to where we want to get it to.
Bret Jordan: Okay. And then I guess you've said there's no fallout for the RV industry from the tariffs, but I think it was an Indiana paper last week, talked about Thor doing some pretty significant layoffs early in the season here. Do you think others are starting to react as if there will be fallout? I mean, obviously consumer confidence is pretty weak and this morning's GDP and employment numbers are weak. Do you feel like the manufacturers are starting to reel things in, in advance?
Marcus Lemonis: I don't want to predict what the manufacturers are doing to improve the efficiency, but I would imagine that why they're making certain changes is in anticipation of having to absorb some moderate tariff increases. I don't think any manufacturer believes that they're going to take an increase in any particular part or piece, because that's really what we're talking about, and they're just going to pass it on to the dealer and the dealer is going to pass it on. I think they, along with us are tightening every part of our belt to ensure that whatever the impact is, we're braced for it and we're getting ready for it. I think what I love most about what's happening right now is that the tariff thing is actually causing everybody in our industry to just get smarter, more efficient, leaner, look at ways to make more money, look at ways to cut costs, look at ways to improve the supply chain, look at ways to be more diversified in ways that we make money. Those are good things. And we don't really believe that this tariff thing is going to be in the long-term as overblown as it may be today, but we are braced for it. And we are making the changes that are necessary. We don't want to speculate on why they're making changes. We do -- we hope that it's because they understand that there's not a lot of elasticity in pricing and you can't pass it all on.
Bret Jordan: Is there a more important metric than consumer confidence to be looking at? I mean, you said there's no direct impact from tariffs on the space, but it seems like an indirect might be what happens to the consumer with broader potential inflation. Is there a metric that you guys run regressions against other that that's more important than confidence?
Marcus Lemonis: For our business, it's availability of credit and the affordability of the product. And so price and rate matter, and the availability of credit matters. Those are really the two things that we think about. We're not naive to think that if the consumer gets negatively impacted, it's going to be a problem. But we also know that the consumer will make choices. We know they're going to make choices. And if there's increases in certain things, they're not going to buy them until the price comes back. When you look at what happened to the RV industry coming out of COVID, where prices had exploded to the upside and then they had to come back down, that was the recognition by everybody including the manufacturers, that the consumer is just not going to do it. And so when we talk about inflation, we are worried about inflation on things like food and gas and things that people must have. But on discretionary items, they can make choices. We think that the reason our business in April continues to be good is because we understand those choices and we give them a product offering that meets what they can afford.
Bret Jordan: Great. Thank you.
Operator: Thank you. This concludes our question-and-answer session. I would now like to turn the conference back over to Marcus Lemonis for closing remarks.
Marcus Lemonis: Thank you. As we navigate through the balance of this quarter, it is our expectation just to reiterate that we feel strong about our guideposts. We understand the macro isn't ideal for this environment, and we will do what it takes to make the necessary adjustments to deliver the results we expect from ourselves. Thank you.
Operator: Thank you. The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.